Operator: Welcome to the Blink Charging Third Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to your host, Vitalie Stelea, Vice President of Treasury and Finance. Please go ahead.
Vitalie Stelea: Thank you, Jen, and welcome to Blink's Third Quarter 2025 Earnings Call. With us today, we have Mike Battaglia, President and Chief Executive Officer; and Michael Bercovich, Chief Financial Officer. Today's discussions will include non-GAAP references. These are reconciled to the most comparable U.S. GAAP measures in the appendix of our earnings deck. You may find the deck along with the rest of our earnings materials and other important content on Blink's Investor Relations website. Today's discussions may also include forward-looking statements about our expectations. Actual results may be different from those stated. The most significant factors that could cause results to differ are included on Page 2 of the third quarter 2025 earnings deck. Unless otherwise noted, all comparisons are year-over-year. Now for our conference schedule, Blink management will be attending and holding investor meetings at the B. Riley Convergence Conference on December 4 in New York City and the Needham 28th Annual Growth Conference on January 15 and 16. For additional events, please follow our media releases in the Events section on Blink's Investor Relations website. And now I will turn the call over to Mike Battaglia, President and CEO of Blink Charging. Please go ahead, Mike.
Michael Battaglia: All right. Great. Thanks, Vitalie. Good afternoon, everyone, and thanks for joining us today. Before we move into the quarterly numbers, I'd like to start with several key updates. First, I want to highlight the meaningful progress we've made under our Blink Forward initiative. As a reminder, we launched Blink Forward during our First Quarter 2025 Earnings Call in May. This program represents a comprehensive transformation plan designed to accelerate our path to profitability and sustainable long-term growth. Next, I'm pleased to report that year-to-date, we have identified and eliminated approximately $13 million of annualized operating expenses. Historically, our operations were organized regionally within our global markets, largely reflecting legacy structures from past acquisitions. We have now transitioned to a global functional model led by departmental global leaders and supported by global back-office functions. Our regional leaders maintain local market expertise, adapt to local demand patterns and incentive programs and are tasked with maximizing returns on local investments, all while operating under global functional guidance. This realignment is already driving efficiency, accountability and faster decision-making across the company. On Wednesday, we also announced another major step toward profitability, a strategic shift to acutely focus Blink on growth in service revenues. Specifically, we are stopping in-house manufacturing and instead will leverage our intellectual property and engineering expertise through partnerships with third-party manufacturers who operate at greater scale and efficiency. There is a clear path in place to exit manufacturing by early 2026. In fact, we have already exited some of our production facilities or sublet to other companies. To be clear, Blink will retain full ownership of all hardware, firmware and software design and development. We're simply outsourcing production to world-class manufacturing partners. This approach enables us to deploy capital efficiently and focus on growing charging services through expansion of our DC fast charging footprint and network services while benefiting from the cost, quality and supply chain advantages of partners with greater scale. Our sourcing strategy is intentionally diversified across geographies, including multiple manufacturing partners in both the United States and India, where we already maintain engineering talent and oversight to ensure quality, cost effectiveness and supply chain resilience. Some might ask, how does this differentiate Blink from competitors? Well, it's really pretty simple. First, we'll continue to offer flexible business models, selling charging station solutions to customers while also owning and operating charging sites ourselves. The common denominator across both models is our recurring and repeat service revenues anchored not only by our Blink network platform, but also high-quality hardware that is designed for commercial applications. Importantly, our DC fast charging portfolio remains the central pillar of Blink Forward as we expand our owned and operated footprint in high utilization locations that deliver predictable reoccurring cash flow. Even as we leverage contract manufacturing, the second differentiator is that our technology remains proprietary from hardware architecture to firmware and software development and integration. This ensures end-to-end compatibility, reliability and superior performance demanded by our customers to support charger uptime and the customer experience. So looking at Slide 5, we see that Blink has improved quarterly revenue substantially since Q1, demonstrating consistency and stability. And Q3 gross margin also bounced back from Q2 to nearly 36%. Other major achievements this quarter are our discipline in cash and working capital management and operating expense reductions, all key components of Blink Forward. As a result, we reduced cash burn in Q3 by 87% to $2.2 million sequentially, the lowest level in more than 3 years, even with a significantly higher revenue base. This cash efficiency underscores the financial resilience we are building into our everyday operations. These actions represent foundational steps in our pursuit of profitability and long-term resilience. They also position Blink to navigate near-term variability in EV sales, which we anticipate following the expiration of certain government incentive programs. While these market adjustments may temporarily impact EV sales demand, we continue to see strong momentum for dependable charging infrastructure across our global footprint. Looking ahead, we anticipate EV sales to stabilize by mid-2026 as the market recalibrates and a new wave of EV models enters the ecosystem, further reinforcing long-term demand for charging solutions. Now let's turn to the quarter on Slide 7. We view the third quarter as another example of progress as we transform Blink. Total revenue was $27 million, a 7.3% increase over the third quarter of 2024. In Q3 2025, we prioritized higher quality revenue, leading to stronger margins. And due to timing issues mainly in Europe, a number of projects and revenue shifted into Q4. Service revenue reached a record $11.9 million, up 36% year-over-year, reflecting the continued strength of our network and Blink-owned asset portfolio. Importantly, in Q3, we achieved gross margins of 35.8%, supported by services revenue growth and our focus on higher-margin product opportunities and disciplined pricing. As shown on Slide 8, our Blink-owned portfolio of chargers continues to perform, driving 48% growth in charging revenue and more than 300% year-over-year growth in DC fast charger revenue from Blink-owned sites. On Slide 9, we demonstrate continued progress in reducing our expense structure and cash burn since the beginning of this year. You can see that excluding certain noncash and nonrepeating items, our operating expenses came down from nearly $28 million in Q1 to $20.6 million in Q3. The contributing factors were significant reductions in both compensation and G&A expenses that both came down by about 35%. These items, combined with significantly improved working capital practices, have resulted in an 87% reduction in cash burn in Q3 compared to Q1. Equally important, through our transformation efforts, we eliminated another $5 million of annualized expenses this quarter, bringing the total to $13 million year-to-date. And as I've said in the past, we are not done yet. With that, I'll turn it over to Michael Bercovich, our Chief Financial Officer, to review financials in more detail, and then I'll circle back at the end of the call. Michael, go ahead.
Michael Bercovich: Thank you, Mike, and a very good afternoon, everyone. With that said, let's turn to Slide 11. Our Q3 2025 revenues were $27 million compared to $25.2 million in the third quarter of prior year. This represents a 7% increase. Product revenues for third quarter of 2025 were $13 million compared to $13.5 million in the third quarter of 2024, which is relatively flat year-over-year. What's important here is that in this phase of Blink's turnaround, our priority is quality of revenue, not just quantity. Growing up top line matters, but profitable, durable and strategically aligned growth matters more. Revenue must contribute to improving margins and long-term shareholder value. Building a company that generates predictable cash flow rather than one that simply grows for growth sake is the key to sustainable success. This is further demonstrated by our product gross margin of 39% in Q3 of 2025, which is about 700 basis points higher than 32% product gross margin in Q3 of last year. It is worth noting that some of our revenue in Europe was impacted by delayed timing of revenue recognition, which shifted revenue for certain projects to Q4 of 2025. We made a conscious decision to focus on growth-oriented and disciplined revenue. And while we generated less total revenue versus Q2, we have increased the gross profit margins and repositioned our team on quality revenue in the future. Service revenue increased 36% to $11.9 million in Q3, consisting of repeat charging service revenues, recurring network fees and car sharing revenues. Other revenues, which consist of warranty fees, grants and rebates and other revenue items, were $2.1 million in the third quarter compared to nearly $3 million in Q3 of last year. The $1 million decrease in other revenues was primarily due to a change in how warranty sales are structured and recognized. At the beginning of this year, Blink outsourced its extended warranty program to a third party, and as a result, we now record only the net revenue earned from this contract rather than the full amount recognized in prior periods. Gross profit in Q3 was $9.7 million or 35.8% of revenues compared to gross profit of $9.1 million or 36.2% of revenues in third quarter of 2024. Operating expenses in the third quarter of 2025 were $9.9 million compared to $97.4 million in third quarter of 2024. Excluding the impact of the favorable noncash change in fair value of consideration payable of $11.7 million and $2 million of favorable adjustment in the allowance of doubtful accounts receivable, the total operating expenses in the third quarter of 2025 were $23.6 million. When comparing to the third quarter of 2024 and excluding the noncash charges of $69.5 million for impairment of goodwill and noncash change in fair value of consideration payable, total operating expenses were $27.9 million. In summary, the adjusted operating expenses in Q3 2025 were $23.6 million compared to $27.9 million in Q3 2024. Excluding the above-mentioned charges, it represents a decrease in operating expenses of 15% year-over-year. Also, I would like to update you on the Blink Forward initiative and how it impacted our financials in Q3. In the third quarter of 2025, we incurred $3 million in operating expenses that have been eliminated on a go-forward basis and are not expected to recur in the future. Excluding those $3 million from the $23.6 million of operating expenses that I mentioned earlier, total operating expenses in the third quarter would have been $20.6 million, representing a year-over-year decrease of 26% and a sequential decrease of 15%. This is further exemplified by the significant decrease in both compensation and G&A expenses in Q3 of this year, which have been reduced by 24% and 32%, respectively, on a year-over-year basis. And as we just said, we expect another $3 million of these expenses that have been recorded in Q3 not to recur going forward due to cost optimization actions we have taken already. Loss per share for the quarter was almost $0 compared to a loss of $0.86 in the prior year period. Adjusted loss per share for the quarter was $0.10 compared to a loss of $0.16 in the third quarter of 2024. Adjusted EBITDA for the third quarter of '25 was a loss of $8.9 million compared to a loss of $14 million for the prior year. As of September 30, 2025, cash and cash equivalents totaled $23.1 million compared to $55 million as of December 31, 2024, and compared to $25.3 million as of June 30, 2025. If you do a quick math, in Q3 2025, Blink used only $2.2 million in cash. This is due to great liquidity optimization actions taken by our teams across all of Blink, resulting in significant improvement in working capital metrics. As we continue our journey of transformation, this quarter reflects meaningful progress in strengthening our foundation for sustainable and disciplined growth. While revenue came slightly lower compared to the previous quarter, our team has made substantial strides in controlling and reducing operating expenses, enhancing gross margins and managing cash burn. This discipline is not only visible in the numbers, but in the way we run the business every day. The decisive actions we have taken to streamline operations, rationalize costs and focus resources on the most accretive opportunities are showing tangible results. Our cash burn rate has materially improved and our operating efficiency is trending in the right direction. Both Mike and I mentioned this earlier, as we advance through the stage of our transformation, our focus remains on quality and sustainability of the growth, not just its pace. Expanding revenue is important, but even more essential is ensuring that the revenue contributes to profitability, margin improvement and long-term shareholder value. We are building a business designed for durable cash-generative performance, one that grows with purpose and discipline. Looking ahead, we expect to focus on the same three key factors I covered during the Q2 earnings call, and is as follows: number one, revenue growth. Based on the current visibility, Blink expects revenue to show continued sequential growth in the second half of 2025. Number two, lower operating expenses, reflecting disciplined cost management and benefit of efficiency initiatives we already put in place and that we are successfully delivering on. And the last one, number three, improved working capital practices, particularly around receivables management, where we have already implemented several practices to accelerate receivables collection and reduce aged balances. I will now turn it back over to Mike to wrap it up. Go ahead, Mike.
Michael Battaglia: All right. Great. Thanks, Michael. So to be clear, this quarter was one of profound transformation for Blink. We are exiting in-house manufacturing to refocus our efforts on growing our service revenue streams. Our goal is to grow recurring network fees and repeat charging revenue, primarily through a larger Blink-owned DC fast charger footprint. We eliminated an additional $5 million of annualized operating expenses that we do not expect to reoccur going forward. That puts us at $13 million per year of annualized expenses eliminated to date compared to an anticipated $11 million that we announced earlier in the year. And as I said earlier, we are not done yet. We reduced our cash burn and improved our working capital practices that resulted in cash burn of $2.2 million for the quarter, an 87% sequential reduction. We refocused our teams to invest in accretive sales opportunities and improve the quality of our revenue. This was evident in the product gross margin of 38.7% and overall company gross margin of 35.8%. We believe this is a key contributing factor on our path to profitability. And finally, we are on track to start shipping our value-focused Shasta chargers ahead of schedule in Q4. This is a product that fills a gap in our portfolio and is aimed at gaining share in the fleet and multifamily market segments. As we said earlier, regarding revenue and gross margins, we expect revenue in the second half of 2025 to exceed the first half, and we expect the same positive trends we saw in Q3 to continue into Q4. So I would like to extend a thank you to the Blink team for its resilience and focus, and I would like to say thank you to our customers and drivers who rely on Blink to provide energy to their vehicles every day. With that, let's move on to Q&A. Operator?
Operator: [Operator Instructions] And our first question today will come from Craig Irwin with ROTH Capital.
Craig Irwin: Congratulations on another really strong execution quarter. And it's hard to know really where to start. But I guess if we kind of step back and -- the forward look, right, the biggest change looking forward from everything that you've implemented is probably the change in manufacturing. And I suspect there's more to unpack there around what this means for margins and resources, frictional costs necessary to support the business. Can you maybe talk us through how this change in manufacturing is likely to cut over for Blink? I know that you have had relationships with contract manufacturers, particularly in India for several years, and experience -- substantial experience working with CMs globally. What sort of cash costs are there associated with maybe the exit of different manufacturing facilities? Any other color that you could give us to understand how this helps you towards a bigger mission of profitability, which is what I know you're really working for?
Michael Battaglia: Yes. Great. Great. So I'll start, and I'm sure Michael Bercovich will have a couple of comments as well. So first of all, this was not something that we just decided to do yesterday. So it's something that we've been planning for quite some time. In fact, we have been moving this direction all year. And just to slightly amend what you said, Blink has owned its manufacturing and production in India. We haven't historically had contract manufacturers in India. We've assembled products in the United States and then we've sourced some third-party chargers externally, which we continue to do. So specifically, what this enables us to do really is a number of things. Number one, it enables us to simplify our product procurement strategy. So think of this, instead of having to manage a manufacturing supply chain and individual components that go into a number of different SKUs within our charging lineup, we now can simply manage finished goods inventory. So number one, it simplifies the company, it streamlines operations and allows us to focus on fewer things. And we think and expect that it derisks the supply chain for us. Secondly, it enables us to reduce costs. It enables us to reduce compensation expense. It enables us to reduce facility expenses. And those are meaningful as we move toward profitability. So at the same time, what we've done in parallel with this, because -- you're right in the sense that there's always risk that when you outsource manufacturing, in theory, your component or your finished good cost could go up. But what we've decided to do in parallel with this is to redesign some of our chargers that we currently sell in order to reduce cost. So we are -- we feel confident that and expect that our margins on products will be consistent with what we experience today. So Michael, anything to add?
Michael Bercovich: Yes, absolutely, Mike. We are treating the capital as we raise it today. The discipline is now embedded in how we build, price and operate our product and services. We intend to protect our margins, especially because we will continue to own our IP going forward. We're aligning cost with revenues in everything we do. And we believe that this is actually a very positive move in the direction of going to profitability. And as Mike said, we intend to sublease the premises. We exited it with minimal cost. That is not going to take an impact on us, on our ongoing operation. And this is a very positive move.
Craig Irwin: Understood. The second, I guess, question that kind of hits the top of my list is the throughputs on your networks have been really impressive, right, 49 gigawatt hours, 66% increase on the Blink networks in the quarter. That is just really impressive. Investors have generally been bearish on EVs, but 66% growth in utilization means that customers are comfortable with Blink and the profitability of this network is clearly increasing. Can you talk about anything that's maybe changed that's allowed you to see this growth acceleration? And how much follow-through do we have on the existing network? Can we see utilizations go 20, 30 points higher on the assets you already have in place?
Michael Battaglia: Yes. So good question. So I would say the largest -- the biggest driving factor between the volume of energy going through the network is the fact that in the last 12 to 18 months, our footprint of DC fast chargers has increased pretty dramatically. And by the way, just to clarify, that's not all Blink-owned. That's customer host owned, that's Blink-owned, that's both. So I think we have in the neighborhood of about 1,800 DC fast chargers now within the United States and then obviously more in our global markets over Europe. So the footprint of DC fast chargers certainly contributes to that volume and those increases. So I'd say that, that's primarily number one. Number two -- the second part of your question is, can we continue this and can we continue to see higher utilization rates? And the answer to that is we certainly expect so. And the reason why we expect so is we feel good about our -- about two aspects of the DC fast charging business for us. We feel good about the units that we're selling through the channel into the market, some of which are publicly accessible, some of which are not. And then secondly, the prospect for the Blink-owned DC charger footprint. So as we become better and smarter about where to site chargers to increase the likelihood of success of those chargers, we'll see meaningful utilization at those sites. So I think on the -- bottom line, Craig, I think we still have room to run.
Craig Irwin: Excellent. Then last question, if I may. You've been pretty clear in your remarks that you're emphasizing DC fast chargers as a real opportunity over the next few years. And I assume there's still a healthy portion of mix. I don't know if you'd like to break that out for us today. But with the emphasis on DC fast chargers, I probably would have expected a contraction of gross profit margins. Something is working for you in there. Can you maybe help us understand if the profitability of DC fast charger sales is changing for Blink? And is this something that would weigh on, on future margins if it does become an outsized portion of mix? Or have margins there come up to the corporate average?
Michael Battaglia: Yes. Again, a great question. So first of all, while the emphasis on Blink Forward and our owned and operated footprint is DC, Level 2 is still a huge part of our business, and it's a big part of our business both through the channel as well as the owner-operator model. The shift is that, when we look at our capital expenditures, we want more of those dollars in the future going to DC fast charging than to Level 2 because we think that the revenue and the profit opportunity will just accelerate through those sites rather than the owned and operated L2. From a procurement perspective, we've also done a better job. So we're procuring DC fast chargers at a more favorable cost. Our margins are improving in that space. But to be clear, you're right, the L2 margins are historically a bit higher than DC. So when you look at our quarters, depending on the mix of those two things, gross margins could move one way or another within a reasonably narrow band, we think. So I think as we continue to do a better job of procuring DC, as our volume goes up, we're going to see those gross margins either stay steady or perhaps improve a bit.
Craig Irwin: Congrats on this substantial progress with the path to future profitability.
Operator: [Operator Instructions] And our next question will come from Sameer Joshi with H.C. Wainwright.
Sameer Joshi: It was a very good presentation. A lot of things were highlighted during the call. I would like to just dig a little bit deeper into working capital improvements that you have already made and are making on the AR front. We can see that. Is there any concerted effort towards improving the inventory situation here?
Michael Battaglia: Yes. Michael, do you want to take that?
Michael Bercovich: Yes, absolutely. You're absolutely right, we have improved the working capital through several measures. One of them was the way that we approach our receivables, the way we manage, the way we collect, the way we even contract. The other piece, if you see on our balance sheet, we're also managing the inventory more carefully. We deploy based on the needs on both short term and long term. We're managing this way more tightly because the cost of capital is top of our mind. And we will continue doing so. As you see, we will be moving to the cost of manufacturing, and this will help us even further to realign between the needs of the business at every single stage and also the cost of that revenue. We are focusing now on a more disciplined, more focused approach of quality of revenue, as I mentioned before in my readout of the results. And this is where you see through all facets of working capital deployment, inventory and the receivables.
Sameer Joshi: Understood. And just an adjacent question, especially in relation to the new contract manufacturing model. How should we see this inventory sort of deplete over the next few quarters as you transition to contract manufacture? Or should we -- like what kind of dynamics are in play here?
Michael Battaglia: So we expect our inventories to come down. Now that said, it's really -- there is -- it's also driven by mix. So as you do more DC fast charging business, the inventory costs are higher. But those we typically manage very leanly. So it's typically a build-to-order model, so they don't sit in inventory too terribly long. But we expect that as we move to contract manufacturing, our overall inventory costs will go down.
Sameer Joshi: Yes, it makes sense. And just one last one on utilization. I just want to make sure that the -- what you're talking about is that the throughput is increasing, the number of electrons delivered, of course, is increasing. Is it on a per unit basis that the utilization is improving or on the installed base that you're seeing more throughput? Just wanted to understand that.
Michael Battaglia: It's both, Sameer. It's both.
Sameer Joshi: Okay, it's both.
Michael Battaglia: So we're seeing more volume go through because of additional chargers in the ground, and then we're also seeing better utilization of the chargers that are installed.
Sameer Joshi: That is really good to know. That's really good.
Operator: [Operator Instructions] And it appears there are no further questions at this time. Mr. Stelea, I'll turn the conference back to you.
Vitalie Stelea: We thank you all for joining Blink on our quarterly earnings call as we announced another strong quarter with significant reduction in cash flow burn and reduction in operating expenses. We are happy to connect you with our management team for additional questions. In order to do so, please send us an e-mail at ir@blinkcharging.com. And we'll look forward to updating you as we progress over the next quarter and in the future. With that, we're going to conclude our presentation. Thank you.
Operator: And this does conclude today's conference call. Thank you for attending.